Martin Preece: Good afternoon, and good evening to those in other parts of the world. Thank you for joining us at the Gold Fields H1 '23 Results Presentation. Myself and Paul will be taking you through the slides. I think, before I start, I want to touch on the announcement we made about Paul giving the Board intention his request to go on early retirement, which we've put in the book and the results this morning. Paul has been with the company since 1996, has been a loyal servant and has done the company really well. I think you've seen the transformation of this company being a South African narrow-reef base sort of miner to a globally diverse gold miner. He's been the CFO for the last 15 years, 14 years of which he has been an Executive Director of the company. I think [ we ] simply [ are ] -- [ got to know ]  all over the last 6.5, 7 years and has been key in helping us at South Deep -- to get South Deep around the corner and over the hill. And more recently, as a fact and his interim role, I think Paul has provided significant guidance and support to myself and the rest of the executive so that we maintain stability in the company and I think, continue producing good results. I'm indebted to Paul, as is the company. I think pleasingly, Paul is in no rush to go. So this won't be the last time you see him. We've started the executive search for Paul's replacement. But as you can imagine, that will take some time. And I'm sure we'll see Paul here at the next set of results. And so, it's certainly not a farewell, but it's allowed us to start with the process to find Paul's replacement. Paul, if you would like to maybe add a few comments?
Paul Schmidt: Yes. Just thank you for the very kind words. And just -- this is about a lifestyle change. As Martin said, I've been with Gold Fields for a very long time. My wife and I, we just -- we want to go and relax and enjoy life, and that's what it's about. So thanks, Martin.
Martin Preece: Good. Well, if we can then move on to the slide deck. I just want to draw your attention to the statements, and please take note about the forward-looking and the non-IFRS measures. If we can then move on to what we're going to cover today, start off with the salient features for H1. I think some really positive developments in the ESG space that we'll cover. We'll run through the operations at a high level. Of course, the Salares Norte Update. Paul is going to run us through the financials and where we are, and then I'll just conclude at the end. So if we can just go on to the salient features. Unfortunately, we suffered one fatality in quarter 1, which we have reported on, and 3 serious injuries. So it takes us to one fatality and one -- the 3 serious injuries for H1. The fatality was [ at ] our Tarkwa mine in Ghana. I can assure you that this is front and center of both the executive and the Board's minds, and we've deliberated this at length this week while we've been gathering both. In terms of ESG, as committed, we have submitted our GISTM and tailing reports for our high-risk dams at -- the 3 at Tarkwa and the 1 in Cerro Corona on the 3rd of August. There are no material dam and safety related issues. We've still got work to do around community engagement, around emergency to sponsor preparation plants. Operations have seen a 4% year-on-year decrease in attributable gold equivalent production. This is largely related to the planned downscaling at the Damang mining in Ghana, which we have spoken about. Adjusted free cash flow for the half year at $140 million. And I think, pleasingly, all-in costs are [ only ] 3% up year-on-year in a very difficult inflationary environment across most of our regions. The balance sheet has seen a net increase of $324 million of debt, largely driven by the Windfall payment of $222 million for our entry into Canada and the dividend that we played, which included a portion of the break fee of $215 million. The net debt-to-EBITDA ratio is flat to 0.42, and Paul assures us that we will make hard work to drive that back down in the second half. In terms of dividends that we've declared, we've declared a dividend of R3.25 per share. That equates to 35% of our normalized earnings, which is in line with our dividend policy. Corporate actions, the proposed Tarkwa/Iduapriem JV in March, which we announced, we're progressing well with AngloGold Ashanti, getting the necessary place between the 2 JV partners. Initial discussions have commenced with the government of Ghana, and we will be dictated by their time line as we go along. We closed and announced the Windfall joint venture in Canada in May. We're very pleased with the progress there. We've -- permits for construction have been submitted, and we expect approvals in quarter 4 next year. And pleasingly, the team at Salares Norte are confident that we remain on track to deliver our first goal in quarter 4 this year. I have touched on Paul and his early retirement. And I think the last point on the slide is that, we're happy to report that our full year production and cost guidance have -- remains unchanged from what we guided earlier in the year. Just as a snapshot, Australia remains a really critical region for us. But in terms of production contribution of 44%, 41% of the cash flow, Ghana, also very, very important to us in terms of the cash flow they're generating, and then -- as well as the production and then the balance between the Americas and South Africa and South Deep. Obviously, the Americas [ dial ] [ will move ] significantly, with Salares Norte coming on track. Production at Australia coming in at an all-in cost of $1,270; in South Africa, $1,387; the Ghana team at $1,210; and then at Cerro Corona at $990, taking the overall all-in cost to $1,398 per ounce. Paul will go into the details of the cost as we go along. We just touched on ESG. This is our dam at Cerro Corona. That's one of the dams we've submitted our tailings report for. You can see it's a well-constructed dam, and we're certain it will be well managed by the team there. On health and safety, as to the trend in many of our peers, we're expanding our concept of zero harm, I think, to move beyond just physical health and safety and include psychological wellbeing of our people, and we're doing a lot of work in that space. I have touched on the fatality at Tarkwa. We've also had one non-operational fatal incident at the Tarkwa [indiscernible] stadium. That's a community project that Gold Fields is funding in Ghana. It's a soccer stadium that hosts national games. Unfortunately, we contracted working there in the foundation, and lost these [ lives ] in the incident. We've had 3 serious injuries, a [ stark ] rise in our total recordable injury frequency rate, as well as the lost time injury frequency rate and the occupational disease frequency rate. I think importantly, during the half year, we've launched the Gold Fields Way culture journey. I think very much aligned to creating the spectrum, psychologically safe workspaces, and there'll be more on that in the back end of this month when we release our report on that. I think decarbonization is a highlight and certainly an area that we believe Gold Fields [ is meeting ]. We've generated 5% less carbon than H1 last year at 819 kilo tons and the intensity is 3% lower. I think importantly, we've moved with -- our total energy derived from renewables has moved from 12% to 16% with Gruyere and South Deep solar plants and operation. And the big focus leading up towards the end of this year is the St Ives micro-grid where we're aiming to get approximately 70% of the power requirements of St Ives from renewables with a split between solar and wind, and we expect the delivery of that by the team in the November sort of ball cycle. We've completed the Rebase study on our Scope 3 emissions, and we do plan to produce and publish Scope 3 reduction targets at year-end. I did touch on the tailings management, but we have submitted our disclosure reports for both Tarkwa and Cerro Corona. I did say that we're both in partial conformance and the focus now is on community engagement with regards to emergency responsible preparedness. We're working hard on the remaining 33 tailing storage facilities to report by August 2025. And we would envisage that if those facilities come to -- ready for reporting before that, we would report earlier. And then our team has also joined the GeoStable Tailings Consortium, looking at how we implement new technologies to further advance tailings -- the management of tailings facilities. In terms of operations, at a group level, we did touch on all -- attributable production decrease of 4%, down to 1.154 million ounces, largely driven by the reduction at Damang. All-in costs up 3% and Paul will go into the details. And then adjusted free cash flow down from the $518 million H1 last year to $482 million. I think importantly, where this slide is at guidance, both in terms of cost and ounces remains intact for year-end. Australia -- cost pressures remain in Australia, a 3% increase in all-in cost -- Sorry, a 5% increase in all-in costs, and we're down 3% on production, some challenges at Gruyere, but we certainly believe that will come back on track, and at grade issues at Granny Smith and some volume at St Ives. So certainly, we will bring that back on track. And between the mix of the group, we will achieve our guidance. In South Africa, at South Deep, production decreased by 5% year-on-year. You've seen the book impacted by some ground conditions. [ We've ] seen major ground events in quarter 1, and we've downgraded guidance to 10 tonnes of gold with 320,000 ounces for the year. And we've expected that the steady state of the 80,000 ounces per annum will be reached in H2 2025, pushing that out by 1 year. South Deep cost performance remains strong, generating $97 million in the half, and the costs also are a little bit under pressure partly by volume and some inflation, but sort of strong financial performance from South Deep. In Ghana, really strong performance by the team there. Production decreased by 6% to 360,000 ounces, but both Damang and Tarkwa are exceeding what we have planned for the year. All-in cost margin here well under control, generated $116 million of free cash. I did touch earlier that we are working on the Tarkwa/Iduapriem JV, and we have started engagement with government. And the future of Damang and Asanko are being considered and worked on, I think, with a lot of focus and energy at the moment. Last year -- we go to our operations in Peru. Strong operational performance. Production increased by 4%, driven largely by higher grades and recoveries. All-in costs up 1% at $990 per equivalent ounce and generating cash of $71 million. It's a perennial, great performer at Cerro Corona, and we're very pleased with the performance of the team there. We can just update you on where we are with the Salares Norte project. Total project at the end of the half was at 94% versus 87% at the end of the year. CapEx of $881 million was spent by end of June and a total of $124 million for the year -- for the half so far. I think very pleasingly, the regulators have approved -- amended Chinchilla Relocation Plan and approval is for commencement as we move through the spring into summer, starting in September this year. And we're looking forward to being able to report on the successful relocation, which will take place over a 3-year period now. Construction at 95% versus 86% at the end of last year. Skills does remain a challenge in that space. But as we get nearer and nearer to completion, obviously, we should start seeing it taking off of that requirement. Plant was at 92% versus 77%. A lot of that progress is now about OEMs signing off on commissioning to keep our guarantees in place. And then, I think very pleasingly, the mining team has continued to mine. So we've moved 16 million tonnes during the half. Total moved tonnes to date to 67 million tonnes, 51 million tonnes, obviously, last year and the balance in the half. I think we've now got 840,000 tonnes on stockpile with 172,000 ounces in stockpile at the end of June. We are on track -- just shy of 0.5 million ounces of stockpile by end of December. The exploration work continues, and our team is very focused on finding the next piece in the puzzle there and we are -- remain on track with first [ fall ] in quarter 4. You can just see the pictures. We've spoken about this before. I think if you start on the top right-hand corner, that is the primary crusher and stockpile facility that is completed and commissioned. They've run the [ dykes ] and run some ore through that. If you then move to the left, that's your main body of your process plant, the leach tanks in the background are starting to be filled with water again, and they run the [ pedals ] in some of those during the night, that should, in the next week -- although the leach tanks should have the [ pedals ] running. We have run the thickness in the foreground before. I think importantly, the picture at the bottom left-hand side of the graph is your buildings where the Merrill-Crowe is. That's a big building, and then the carbon building just beyond that, the carbon recovery. Merrill-Crowe accounts for 85% of the metal and the last 15% are the carbon circuit, and the other plants is just the -- to assist to those processes where we do our reagents. I think the important thing is the clearing is on those buildings. And as such, we will not be impacted by weather events going through the winter because people can work indoors in a safe environment. And those 2 cranes in the left here are just doing the last bits of work, but essentially, all big cranage is done. And then in the bottom right-hand corner, that's the [ line ] tailings facility, also basically now complete where we stand today. So we're ready to start with the acquisition of tailings once we commission the plant. Paul, if I can hand over to you to run us through the finance.
Paul Schmidt: Yes. Thanks, Martin. Martin has already alluded to some of the salient features. I will talk to free cash flow and net debt on later slides. Just to talk to the all-in costs, 3% up year-on-year. Really pleased to confirm that we are on track to meet our guidance. Reminding you our guidance was $1,480 to $1,520, and current forecast -- whether we use exchange rate, we're using guidance or forecasted exchange rate, we will meet guidance. A lot of people will ask that the guidance is a lot higher. Remember, we normally spend more capital in the second half of the year. We always have a slow start up. So we're on track for the $1,480 to $1,520. Pleased to confirm the interim dividend of R3.25. If we can go to the next slide. Really very proud of the ESG sustainability linked loan that we did. It's the first for Gold Fields, and I think this just confirms and emphasizes Gold Fields' commitments to ESG. And we've linked it to 3 of our key ESG priorities: gender diversity; decarbonization; and water stewardship. If you go to the next slide, please. We can talk to the cash flow. If we look at the operations, which we call adjusted free cash flow from operations, generated $482 million. We put $202 million into Salares Norte giving us $280 million, and after taking all the interest paid, et cetera, we ended up with $140 million. It's a lot lower than last year. One of the main differences year-on-year is that we had a very, very big investment in working capital in the first half of this year, $22 million related to a prepayment for a new camp at St Ives. We're going to build a new camp in Kambalda around the St Ives mine. Also, we had a circa $90 million buildup of stockpiles mainly at our Tarkwa mine and Cerro Corona as well as some small amounts of our other mines. If you want to move to the next one, please, Thomas. Our net debt. Net debt has increased to $1,028 million. As Martin said, it relates to our final 2022 dividend payment of $215 million. Our capital injection of $222 million to purchase the Windfall project as well. We had another $33 million that we contributed in terms of capital calls. If we exclude the leases -- because remember [ these ] leases -- our actual true debt at the end of June was $629 million. Our net debt-to-EBITDA, 0.42, remaining -- our covenants are 3.5x net debt-to-EBITDA, so well within our covenants. That's all I have. I'll hand over to Martin for the confusion.
Martin Preece: Thanks, Paul. So in terms of conclusion, I think one of the big highlights for H1 is we took a significant step on our culture journey by launching the Gold Fields Way, followed by summit with our, I think, a diverse group of leaders from all our regions. We recognize the need to build, I suppose, an inclusive, diverse culture in which people feel they belong, and we think that could be a significant differentiator for our business. As we face skill shortages, we've got some pressing issues to address around our culture, and we will be releasing our Elizabeth Project report at the back end of this month. I think in terms of Pillar 1, maximizing the potential from our asset, we've taken the Board through a proposal on our asset optimization framework this week, and we've started developing key initiatives to drive our asset optimization, and we'll be reporting at that in the beginning of next year with the full year results. We will lay out the detailed asset optimization plan and the value we're chasing. In terms of our ESG commitments, very proud that we've now moved to -- 16% of our energy is from renewable sources. And under [ pool ] stewardship, we drive in that on a value accretive basis, and we're taking long hard look at our investments to make sure they are value accretive. We've done the tailings disclosure imports for both Tarkwa and Cerro Corona as we [ commented ]. And as Paul said, a big step forward, we've got a sustainability linked loan. Growing the quality and the value of our portfolio, we've started the negotiations with government around the Tarkwa/Iduapriem JV. The Windfall JV announced and concluded in May. The teams are working really closely to align processes. And the permitting is underway, and we're looking forward to that being the next sort of real success of Gold Fields. And then lastly, Salares Norte is making great progress and on track for first gold in quarter 4. The team is committed, and I believe, doing a great job. Just in terms of guidance, Paul has touched on this, and I don't want to consume time, but I think the essence is that we remain on track, both from a production perspective in terms of ounces and costs. And I think importantly, our big focus for H2 remains getting our first gold from Salares Norte in quarter 4, continue the progress of organizational culture initiatives, including the progress towards zero harm. I touched on asset optimization. We believe there's a big opportunity there. Decarbonization remains front of mind as well, and we see value in that. And then, as we touched on the discussions around Asanko and Damang, some work to do on portfolio management. So those would be our big focus areas. I think we can conclude there, Thomas, and I'm sure, Paul and myself will be happy to take questions.
Thomas Mengel: Thanks, Martin and Paul. If we could go to the phone lines first, please.
Operator: We have a few questions on the conference call. The first one is from Catherine Cunningham of JPMorgan.
Catherine Cunningham: Sorry, if one of these has been addressed, I did get cut off. I have 2 questions. The first is on Solaris Norte. So I appreciate you say that you're on track for Q4 production, but I did notice that the guidance is lower for Q4. So just maybe some color on what's driving that and whether you see any risk to the pace of the ramp-up post the fourth quarter? And then also just briefly on South Deep. I think you said on the earlier call that you plan on bringing contracted [ into ] skills gap. Could you maybe share some color on the impact that you expect to labor costs on the back of that?
Martin Preece: Yes. Let me start with South Deep. I think the question was we've contracted in some skills and what do we think the cost impact will be. What we've contracted in a small part to make up some of the shortfall that roles, we're struggling to fill or where we're training people. So certainly, this isn't a long-term, full-time dimension. Those costs or those skills are coming at a slight premium, but certainly, in the materiality of South Deep, those -- it maybe [ tenet ] of people and would not have a material impact on costs and certainly far outweighed by the impact of getting the drilling up and breakings [indiscernible]. So we don't see material impact on cost with that. I think in Salares Norte, we put in broad guidance at the beginning of the year. I think we've -- certainly we've looked at it as we go into quarter 4. We've marginally scaled that back. But at this stage, the team is still confident of a rapid ramp-up once we've commissioned the project. I did touch on the ounces that will be on stockpile that we are commissioning in parallel to construction. So we've got the crusher, the stockpile running. They've churned the mill. We've put water in the mill and the OEM now comes and does the final commission on the mill. Work is happening with the filter plant at the back as well as the leach tank. So the team remains confident of a ramp-up of production next year.
Operator: The next question is from Jared Hoover of Morgan Stanley.
Jared Hoover: 3 questions from my side, please. I just -- wanted to just touch on the Exco changes. And I mean, I think, it's well known that the Exco is probably been in a degree of flux over the last 6 to 12 months. And now you've got Paul who's retiring, probably lent a degree of continuity to the leadership team. But for me, the risk has always been that these leadership changes would potentially be reflected in a regression in your operational performance. How do you believe we've seen that now in South Deep, Salaris and Gruyere? But my question really is, to what extent do you think that these leadership changes might have contributed to the regression in operational performance? Or can you help us understand potentially maybe that there's just one-offs that have contributed to the regression in performance? That's my first question. My second is around South Deep. And, I mean, obviously, this mine had a pretty good run over the last 3 years or so. You've re-orientated the mine to control seismicity. You've upskilled the workforce. There's quite a few other changes you've made as well. But now production has been downgraded slightly for this year. Longer-term guidance, the buildup is pushed out a bit. You flagged skill shortages, but I think you're remedying that with the contractors. But for me, the bigger issue is around the unexpected events that you've encountered at South Deep. So my question around that is, do you think that you might need to go back into experimentation mode at South Deep, potentially having to re-orientate the mine, and therefore, the risk to your production outlook over the next 2 years is actually lower than what we might be expecting at this point? And very lastly, just on your asset optimization. And I mean, I appreciate that you probably give us something a bit more substantive in the first half of next year. But given that -- I think you started this program at some of your bigger assets like St Ives, how should we be thinking about the impact that this program will have in your business? Should we be thinking about a step change lower in your unit cost into 2024? Or is this program really just going to offset the elevated levels of inflation that we've seen? I'll leave it there for now.
Martin Preece: So, I think I'll start with the Exco question and there has been flux, but certainly, the roles have been filled. We've got great team members that have joined the executive. And certainly, the way Gold Fields works is we've got a strong regional model. So, I think if you've looked at all the distraction last year around Yamana, where the corporate team was very focused on trying to get the Yamana deal over the line, what you're having Gold Fields is -- you've got your 4 regions that are headed by executives that have carried on the level to good set results last year. And [ bought ] some of the caps this year and delivered a good set of results this year. There's some ups, there's some downs. So Paul leaving -- he's got us through the stability, he's helped us stabilized business. He's been part of the recruitment and selection of the new executive that we put in place. And Paul won't be leaving next week. You can expect to see him at the results presentation, I'm sure, in February because searches like this take a long time, and we want to get the right person. So, we're not in a rush -- to rush all out of the office. And certainly, for me, it's quite important because he's the first one in the office and I'm the second one, so at least I've got somebody to talk to in the morning when I get in. So I'm confident that we've got a great team in place. We want to build a business that isn't personality-based. And we will keep on putting good people in place and you will see changes over time. People get older, get retired, but our regional and central model, I think, works well for us. I think at South Deep, we're confident with the overall trajectory of the mine and the remodeling we've done, like you said, about seismicity, the reorientation of the mine. I think the workforce -- We've had these problems with ground conditions. We've had a [ stroke ] that unraveled across the main access drive in one of the key corridors. And that from a safety perspective, we're not prepared to use just a single access to get to the remainder of that corridor until we've opened it up. We lost the football ramping to our old narrow stoping area. The main access job, we expect to go back into that cut in quarter. The other 2 areas that failed, the team were back in there and producing. It has impacted on guidance. If I can talk maybe longer term to build some flexibility into South Deep, we motivated last year to the Board to head towards [ Salton ] Bridge a little earlier. I think what we do know is that the 2,500 to 3,000 meters below surface in a seismically active mine. Just-in-time production is most probably not the right way to go. So we've started slowly getting our sort of lead development teams at the bottom to inch their way towards [ Salton ] Bridge. We want to get in there, start opening up that area so that when a [indiscernible] happen, we do have the capacity to go somewhere else. So there has been some change with South Deep. We've said that most probably getting to the 380,000 tonnes is pushed out by 1 year. That's what we're guiding. And -- but I think it's on a steady trajectory. You'll see we've made just shy of $97 million for the half. So it's not just watching it's space. It's making a valuable contribution to the business, and we'll stand top of it. I think in terms of asset optimization, we've broken that into 3 components, business: improvement elements, which would be the incremental changes that we'd expect the operations to run; breakthrough interventions, which would be more regionally based interventions with a team trying to sort of get a bit more of a step change; and then transformational interventions, which would fundamentally look at moving the cost base significantly. We obviously, [ frankly ] put to the Board -- is proposing certain targets that we've got to define over the next few months for a 5-year period. So we'll see some of it coming through incrementally over a 5-year period. You don't do transformational moves in 1 quarter. So it will be a steady increase. Hopefully, it's going to erode some of the impact of inflation over time. That would be the intention. And we're also going to look to find cheaper and better answers.
Operator: The next question is from Raj Ray of BMO Capital Markets.
Raj Ray: My first question is on Salares Norte and it's a follow-up on what Catherine asked. So Martin, you did highlight that you remain comfortable for the ramp-up in 2024. But if there was one risk that you would see is something that keeps you awake, what would that be in terms of the ramp-up next year? Because the 500,000 ounces in the first year of production is a pretty significant milestone. So if you can talk to that? And then second, on the Chinchilla relocation, I did see that you're looking at options for mining that part of the deposit underground. Is that a requirement of the relocation? Is that something Gold Fields is looking at? And if so, what could be the potential impact on, let's say, additional capital or even the production profile when you get to that part of the mine? The second question is on the skill shortage that you have highlighted across the portfolio. I do appreciate that South Deep is a challenging mine. You need continuity, and just bringing in a contract, does that really solve the problem? Or do you want to, at some point, look at the longer-term steady state [ than today ], well, maybe [ $300 million ], [ $350 million ] is a better way to go? And also looking at Australia, from what I remember from the site visit last year, it's got a good run rate of around 1 million ounces. There's a lot of development that needs to be done in terms of underground infrastructure upgrades, possibly looking at new shaft or [ hold ] options, new mining fronts. And the skill shortage there, is that something that can impact your medium-term outlook for that portfolio? And then one last question on Asanko. I saw that the new mining contract has been awarded, but the feasibility study approval is still pending. Can you share some thoughts on how -- what you are thinking about it?
Martin Preece: The ramp-up must be front of mind for us. But I think what we must bear in mind with the ramp-up next year is we don't need to treat in terms of volume at full capacity because you've got grade. So you have an advantage in terms of grade next year, that drives some of the ounces. So we certainly don't need to run that process front, at full tonnage capacity next year. We're keeping a very close eye on [ all of them ] ourself. That would be the thing that would keep us awake, that Salares Norte moves down materially for the group next year, and that we'll keep a close eye on it. We're focusing on the production to get it going this year, and we'll have to keep a close eye on. So that will keep us awake. At this stage, the team has assured us that we're in a fairly good space. In terms of the Chinchillas, we have got the permission now to relocate. What we did do as the relocation plan was being, I suppose, authorized by government. We were getting worried in terms of timing. So that really initiated the underground study to mine the second open pit, Agua Amarga, that -- and it's just, I suppose, a good thing to do that we had somewhere to go. We didn't manage to get the permit to relocate the Chinchillas that are over that area. Essentially, what you do with the open pit, you end up with very similar economics on -- at a conceptual [ PFS ] level, and the team will present a more detailed study to us towards November this year. But you replace a very high strip ratio open pit mine with a very low strip waste ratio to ore ratio underground mine. We plan the -- sort of initial thinking is to access the Agua Amarga deposit through the beta principal put on [ H2 ] and then mine it from underground. We also believe there's a little bit of upside with that underground option because there's certain length of all that went beyond the current open pit that we'd be able to get. The other potential benefit of it is, obviously reducing that strip ratio would significantly offset or reduce our carbon emissions with running diesel trucks. But they have approved the Chinchilla Relocation Plan. We're confident that the plan we proposed is going to have a good success rate. And we've got to think about it. We did want to move to underground. There's going to be a permitting element to change the mining. And so, that's all stuff that's -- water that's got to flow under a bridge this -- late this year, early next year. In skill shortage, I think there's 2 different problems in Australia. You've got a booming commodity market. You've got the big iron ore [ mines ] and the bulk of that we're competing for skills with. And you're sitting in a country with less than 3% unemployment. So we can't compete on price. We can't do that. The impact on our bottom line too much and that cost gets baked in. We believe that we are paying very competitive salaries and bonuses. So we've got to look at different things to attract and retain people. We've got a good innovation and technology so that we automate and hopefully can do the same with best people. At South Deep, we said [ in ] some of the calls earlier today, they've become a victim of their success, and that I think the [ stripping ] -- normal [ stripping ] skills were most probably not up to par. And over the last few years, they've developed a very competent base of longhole drilling operators and maintenance personnel around that. We -- Those have been post by a large diamond mine that is commissioning the underground as well as the big copper deposits in the DRC. In response to that, we've taken on additional people. We're training surplus to requirements. And as I said earlier, we've brought in a contract with trying fill some of that gap in the short term while we build up the number of people and the competency of people to do that. Artisans and maintenance stock are still a challenge, and we're working on that. In terms of Asanko, the outstanding piece of the feasibility that we're working with Galiano on is the reserve and resource estimates. I think the mining plan, the mining costing per se is not the challenge. It's about the sort of confidence that we have in the resource and reserve models that we've produced. Both teams are working on that. But we're also looking at our options with what we want to do with Asanko and Damang, as I said. So we would hope to conclude that a very clear way forward in the coming months.
Operator: The next question is from Adrian Hammond of SBG Securities.
Adrian Hammond: Martin, you've shown best-in-class cost performance [ these ] few years, clearly, with quite lower inflation. Could you perhaps just give us some color on how you've been able to do it, whether it's the assets themselves or your cost discipline efforts? And then secondly, the asset optimization plans you've put in place, what deliverables should the market expect to measure you by on this? Will you give us new cost and production targets? Or how should we -- what should you we looking forward to next year? And then for Paul. Paul, you're on your way out, but, obviously, you've still got some time. What do you think are the key issues on your to-do list before you leave?
Paul Schmidt: Adrian, let me just talk to our good cost performance. I think as what I said when I talked about the all-in cost is that our capital is skewed towards the second half of the year, and we're going to obviously spend a lot more towards the end of the year. And the $1,380 circuit that we've talked about for the first half will be a lot out towards the end of the year. I think we've been working hard on cost control. I don't think there's any magic. To be honest, a lot of it, as I said, is the capital. But I have included a slide at the back of the presentation which shows the inflationary pressures we are facing. But I mean, it's a day-to-day job where we're talking to the teams on site as to how they can offset it or mediate some of the inflationary pressures. Especially in Australia, we're seeing huge pressures on wages, Martin alluded to it, with the iron ore mines putting pressure on us on every day. Secondly, inflation you asked, what am I -- want to do before the -- it's inflation. Inflation is to how do we tackle it. And as Martin said, the #1 priority for us is to get Salares Norte up and running by the end of the year. That's what we all gear to because that, as you know, is the big cash cow for Gold Fields for the next 3 years as it ramps up to the 500,000 ounces.
Martin Preece: Solares just moves the [ dial ] -- In terms of cost performance, and Paul must take a lot of credit, I think he keeps us all very focused on it. So that's an addition I have. But I think we've also got to, I think, get priced to our regions. And again, the model we use -- the heads in the regions and the teams in the regions and the general managers, they understand the importance of cost performance, what it does to our resource and reserves. And the team is very focused on -- there's a discipline around cost across our business. I think in AO, in terms of what to expect I'm not at a big cost side of the business person, but I certainly believe we've got to take [indiscernible]. And the 2 elements that drive value with asset optimization again is, we've either got to spend less money or produce more ounces. So the kind of initiatives that we are looking at is how do you eliminate wastage duplication and unnecessary costs. I think there's necessary costs in the business and those we must spend. And then looking at a number of initiatives that can move the [ dial ] on productivity and that -- by virtue of the fact that you can produce slightly more ounces from a particular block or from underground at a cheaper cost, that's what drives the dial. But we need to try and move the dial on the bottom line. And that protects us against the inflation impact and it gets us ahead of our peers.
Operator: The next question is from Cameron Needham of Bank of America.
Cameron Needham: Look, firstly, regarding the labor situation you discussed in Australia. Are the issues in terms of labor shortages becoming severe enough and going on for long enough such that they would actually influence how you allocate capital across your portfolio? And then just as a follow-up to that, have you had any engagement with the government in terms of perhaps making it easier to import later?
Martin Preece: So I think it's something on our radar stream. The cost or the labor turnover has come down marginally. I think we're sitting at between 17% and 18% for the Australian region at the moment, which is better than where it was at the beginning of the year. The government -- we met with Minister Johnson on Monday evening. Certainly, we find a very engaging government. There has been relaxation about skills -- bringing skills into Australia. When -- I've traveled around the operations here, that's certainly the most cosmopolitan group of people in our business. So you find people from all nationalities working on our mines in Australia. So I think the government is doing the effort to enable the resources sector in terms of making it easier to get resources in.
Operator: The next question is from Leroy Mnguni of HSBC.
Leroy Mnguni: I have got 2 questions. The first one, if I look at the Tarkwa all-in sustaining costs, you're below about $1,200 an ounce. You've cut your guidance for the year slightly, but it still remains quite high relative to what you delivered in the first half of the year. So I was wondering if you could share some insights on some of the cost headwinds that you're expecting there in the second half of the year? Or is that also linked to higher CapEx? And then the other question, I remember at your year-end results a few months ago, you alluded to some reserves in Australia that were close to being confirmed and you're expecting to add those on, but just couldn't get it done in time for the results of -- just interested in whether there's an update on those? And then if you are planning on any -- adding any additional reserves in Australia?
Martin Preece: Let me start with the reserves question, and then Paul will answer the cost question. What we spoke about at half year is aligning our reserve and resource program with our business planning cycle. And so that was one of the things -- we had the 2 out of 6. So what we've done is we've brought the 2 into [ 6 ]. We've given an exception to one mine in Australia, Granny Smith, who are -- they're going to be able to submit the reserve and resource conversions a little bit later than the rest of the group. And so what we were concerned about is that we're changing the cutoff [ cash ] earlier in the year. We would potentially not replace, as Australia consistently does, all the reserves and resources. We are busy, obviously, now that the drilling is in the [indiscernible] and we've got our costs coming out of the business planning in the process of obviously preparing for our business planning, which we should have put together in October and November. So we will update you towards the end of the year. I think the one positive for us is that we've aligned the reserve and resource process with our business planning process. And so we're not going to be out of sync in terms of mine designs and the resource reserves. So that was the anomaly, I think we were trying to explain at the beginning of the year, Leroy.
Paul Schmidt: Leroy on talk -- I'm not sure what you're referring to, but we've actually down the all-in cost guidance of $1,390 to $1,370. That's a factor of the higher ounces, upgrading it from [ 545 ] to [ 550 ]. If you say, why are we at $1,181 for year-to-date, and we still in line to get $1,370 is what I said earlier on. We skewed our capital -- generalist capital in the first half, more capital in the second half. But I think one of the positives that we've seen in relation to our guidance is that we've had a slightly lower fuel price in Ghana. I hope that answers your question, and that's what you were asking me.
Operator: We have no further questions on the conference call, and I would like to hand back for questions on the webcast.
Thomas Mengel: So we've got a couple of questions on the webcast. The first one comes from [ Belecki ] from [indiscernible] Capital. Are there any plans in the short term, i.e. next 6 months to bolster your balance sheet? If so, please advise?
Paul Schmidt: No, as we did announce, we renewed our $1.2 billion group facility. There were -- it was made up of a 3-year and a 5-year [ $600 million ] facility. We've now got a 1 facility of 1.2 billion. It's a 5-year facility with an addition to add 1 plus 1, effectively taking us to 7-year plus $400 million accordion. One of the reasons I'm in Australia -- been in Australia for the last 2 weeks. We're busy reviewing and renegotiating our AUD 500 million facility and hopefully, by late September, early October, we would have concluded that, and that will be similar to what we have at the moment. In terms of next year, as I've said before, we have the 2024 bond maturing, $500 million, and we want to pay that out of cash flows, as I said, Agnew and Salaris Norte is big ticket for us next year. And we're going to use most of the capital raised from Salaris to pay down the bond. It's not our intention to do a new bond next year.
Thomas Mengel: Next question comes from Arnold from Nedbank. The -- Is launching the Gold Fields Way culture journey an proactive initiative? Or in reaction to issue it, what challenges you've encountered recently? Is this related to some of the recent safety incidents?
Martin Preece: I think it's certainly a proactive initiative. If you look at our cost base, the better part of 50% of our cost is linked to our people. And we certainly believe that we can create a more diverse, inclusive, equitable workplace where people have a sense of belonging. We can certainly get people to reach their full potential, but I think unlock discretionary effort. So it's our fundamental belief that people are the thing that's going to move the dial in our business. And so proactively, we want to drive this that we're the company -- the go-to company where people who come and want to work with us.
Thomas Mengel: Next question is from Josh from RBC. He's asking, why was mining at Salares Norte solely focused on the waste stripping in Q2? Has infill drilling provided any information about reconciliation or required changes to the mine plant?
Martin Preece: So I think, Josh, that's largely related to where you're doing your cuts. We have no pressure at the moment to stockpile more material. We're waiting for the plant to commission. So the focus essentially in the beginning or in this Q2 has been around waste stripping. We're back in the bottom of the pit, now stockpiling ore again, and we will meet the full year's mine plan as put in the guidance at the beginning of the year.
Thomas Mengel: Next question is from [indiscernible]. The question is, what are the disadvantages to going underground at Agua Amarga, i.e., why did you initially plan to go open pit?
Martin Preece: I think open pit is, I think, historically always been your go-to way certainly. I think in the traditional mindset, we'd carry less risk. It would be more economic, you can move bigger volumes. But what we did is with the Chinchilla challenge, we started relooking at that. I think in a world where we're trying to reduce carbon, one of the big benefits of an underground operation would be in a strip ratio in excess of 20 to 1. That's a lot of diesel we're burning, but it does come at a slightly elevated cost underground. So the initial thing which we were setting up our open pit mine, we had 2 ore bodies that lend themselves to open pit. I suppose the Chinchilla issue forced us to relook at that. And we're relooking at -- Now I wouldn't bank the underground option. Now the economics are similar in open pit and underground that we've done, but we need to look at it in more detail when they present the study, and we need to bear in mind timing because there will be a permitting process associated with that and whether we can maintain production continuity that the permitting doesn't allow us.
Thomas Mengel: Next question is from Rene from NAOH. He ask, can you comment or do you have an update on your resources and reserves in terms of ounces or average life for Gold Fields mines?
Martin Preece: That is something that we publish annually. And the team is working on that towards the end of the year and to be published early next year as part of our annual reporting.
Thomas Mengel: Next question from David from [indiscernible]. He's asking your FX assumptions for cost guidance are quite different from how the currencies have developed over the year. What impact will weaker [ Aus ] dollar have on your costs? And can you quantify that perhaps to a percentage saving?
Paul Schmidt: What I have said earlier in terms of the guidance, I mean, we guided the [ R17 ] to the dollar and AUD 0.7. Our current forecast is around [ R18.53 ] and AUD 0.67. Looking at the numbers I've got in terms of all-in cost, it's around $50 difference between improved impact using the forecasted exchange rate. But as I said, even at budget and rates would still make our guidance, but the difference is about $50 in terms of where we will add. It's quite a positive impact for us.
Thomas Mengel: Last one guys. So [ Andrea Philips ] from [ Risk Insights ] asks, what steps has Gold Fields taken to address the areas for improvement identified in community engagement and consultation and addressing human rights risks?
Martin Preece: I think we've got a big team working on that, Andrea, out of the Johannesburg office under and [ seems ] churns  leadership. We subscribe to the principles laid out by the ICMM. And I think we wanted the leading members here in the space. So certainly on our [indiscernible], we regularly present these risk assessments and reviews to our Board. We covered some of our regions this past quarter, and it's something that we believe we have the necessary governance and structure around to ensure we can keep best practice in.
Thomas Mengel: Thanks, Martin. That's all the questions. So if you want to just wrap up.
Martin Preece: I think I'm not going to try and repeat all the details. We are pleased with how the teams have performed and what they've delivered. Salares Norte remains front and center of our focus in terms of delivery. We've got work to do with our safety. And again, just to thank Paul, he's going to be sitting with me certainly at least another one time. And if we drag our feet in recruitment, maybe another 2 times Paul, but I think I'm going to have difficulty with Paul's [ worth ]. So I'll have to contract our feet on that. Thank you for joining us this evening, and we look forward to catching up in the coming week and next year.